Operator: Welcome to ForgeRock's Fourth Quarter Earnings Conference Call. As a reminder, this call is being recorded. I would like to turn the call over to Mark Kang, ForgeRock’s Head of Investor Relations. Please go ahead.
Mark Kang: Hello, everyone. Welcome to ForgeRock’s Q4 and full year 2021 earnings conference call. On the call with me today are Fran Rosch, CEO of ForgeRock and John Fernandez, our Chief Financial Officer and EVP of Global Operations. Before we begin, I’d like to remind you that our discussion today includes forward-looking statements within the meaning of the federal securities laws. Forward-looking statements include statements related to our expected results for Q1 and full year 2022 results, our future offerings and enhancements to our current offerings to market for our offerings, customer demand for our offerings and other matters. Actual results could differ materially from those indicated by these forward-looking statements. We encourage you to review the risk factors that we have included in our SEC filings, including our quarterly report on Form 10-Q filed with SEC on November 12, 2021 for some of the factors that could cause actual results to differ from those indicated by the forward-looking statements. All non-GAAP numbers referenced in today’s call are reconciled in our press release and slides available on our Investor Relations website. With that, I will hand the call over to Fran.
Fran Rosch: Thanks, Mark and thanks everyone for joining our second earnings call as a public company. 2021 was a momentous year for ForgeRock that was capped off with strong acceleration in our ARR growth rate, and a record amount of net new ARR generated in a quarter. Our ARR grew 35% in Q4 and 35% in fiscal 2021, a significant sequential acceleration compared to the 30% growth in Q3 of 2021. Our strong results are driven by the consistent demand that we are seeing for ForgeRock enterprise grade identity platform, as we continue to win business for many of the world's largest and most demanding enterprises. We added a record number of customers with $100,000 of ARR or greater in Q4, bringing our total to 394, representing an acceleration in large customer growth to 21% year-over-year. Adoption of our SaaS offering to ForgeRock Identity Cloud is exceeding our expectations. We previously said, we would provide disclosure around SaaS ARR and today, we are pleased to announce that the ForgeRock Identity Cloud represented 12% of total ARR at the end of 2021. This traction underscores the rapid enterprise adoption and strong product market fit for our SaaS offering after its first full year of availability. Our achievements in 2021, and the momentum heading into 2022 supports our view that we've raised the bar for ForgeRock growth. We are confident we can continue to grow our ARR north of 30% in 2022 with the potential for further acceleration in this exciting market. We have built a leading enterprise identity platform and the demand for our platform is stronger than ever. We also plan a massive $71 billion market across CIAM, workforce and IoT identity, where legacy platforms and homegrown and point solutions represent a huge replacement opportunity. All this plays to our platform strengths and contributes to our market share gains. Before diving into some of the highlights of the fourth quarter, I want to revisit four key drivers of our growth. As we look ahead to 2022, we see these dynamics is core to our strategy, and continuing to gain market share, and capitalize on the larger growing market for identity. First, we have the right platform for enterprises that have made digital transformation a top priority. What makes our platform differentiated? Are purpose built for enterprises, and we cover the broadest identity lifecycle. We do this at internet scale with one platform for all identities, consumers, employees, partners, and IoT. We make it easy for companies to deliver personalized and seamless omni-channel experiences. And our customers don't have to cobble together multiple point solutions. Our unified platform takes the complexity out of it. Second, many companies want choice where they deploy their IAM solution. Our ability to serve customers in a self-managed, hybrid or SaaS environment really enables us to address the full market. Third, our differentiated SaaS architecture, with a focus on high scale, performance and data security is a key reason why enterprise customers choose for ForgeRock. We give customers control over where their data resides, which is becoming increasingly more important for enterprise customers globally. Fourth, we have an attractive land and expand growth opportunity. New customer acquisition is being driven by new product innovation, increased productivity of our go-to -market engine, and industry analyst’s recognition. Our expand opportunity is being driven by customers at more [ph] identities, use cases and product modules. And we have a big opportunity to convert our existing self manage customers to the ForgeRock Identity Cloud. We've continued to receive third-party validation from industry research. In the past, you may have heard us mention the Triple Crown. ForgeRock continues to be the only identity provider recognized as a leader by Gartner's for access management, and Forrester, KuppingerCole for CIAM. Just a few months ago, Gartner published a new report called Critical Capabilities for Access Management, which is a deep technical review of 12 identity companies. When you combine our scores across all three categories in the report, which are CIAM, workforce, and application development, we are the highest ranked platform. We believe we are best positioned in the market with a leading identity platform that has earned recognition for many market analysts over the past year. Customers are at the heart of ForgeRock culture, and I'm excited to share several notable wins from the quarter. First, let's take a look at the momentum we're seeing with our SaaS offering. Both HealthPartners and Nationwide Building Society, are net new customers for us. Healthpartners is the largest consumer governed, non-profit health care organization in the US with a mission to improve health and wellbeing in partnership with members, patients in the community. HealthPartners saw an opportunity to leverage identity to improve and grow its business, such as enhancing the user experience for members and providers and driving efficiencies such as reducing helpdesk calls and eliminating duplicate accounts. Health partners selected ForgeRock Identity Cloud, due to its unique architecture, and features that specifically address HealthPartners innovative use cases, as well ForgeRock's ability to drive rapid success. Our HIPAA compliance is essential to helping close this deal, as well as others in Q4. Nationwide Building Society is the UKs largest building organization with 16 million members, and one of the largest providers of mortgages, savings and current accounts in the UK. Nationwide selected our ForgeRock Identity Cloud for both its retail banking and mortgages divisions, as it improves and enhances how it authenticates people across its mortgage and banking divisions. Our next few customers are great examples of existing customers that have decided to migrate to our SaaS offering, as part of our software to SaaS initiative. With more than 1500 companies in over 130 countries, this global financial services company offers end-to-end manage payroll service, including Visa, Medtronic and Intuit. The company connects all employee pay processes, including payroll, payments and on-demand pay for a unified SaaS platform. As the company continues to expand, it was looking to broaden its existing ForgeRock solution to support more employees, reduce overhead and lower the TCO for IAM. The company chose to migrate to the ForgeRock Identity Cloud to address their performance and capabilities needs and for ForgeRock's ability to support on-prem and cloud simultaneously to minimize typical migration challenges also influence their decision to choose for ForgeRock's SaaS offering. A fourth customer example, has been a ForgeRock's customers since 2015, and has been managing identities for its nearly 30,000 employees and more than 100,000 customers. When the company decided to transfer all of its applications to a cloud based environment. This customer is confident in ForgeRock's ability to operate in a hybrid model during the phase transition with on-prem cloud applications running in parallel and not impacting security or business functions. With ForgeRock Identity Cloud, the customer expects to reduce their TCO and reduce risk through the automation of patches and upgrades, while continuing to meet the company's scalability, and user experience requirements. We are extremely proud to announce that two of the world's largest banks became significant customers of ForgeRock in Q4. For our fifth customer example, this banking customer needed to migrate off of its legacy CA Siteminder and custom-built infrastructure, in order to provide the business with a more flexible and stable identity platform. That's an exhaustive review of the market, this banks selected ForgeRock because of our deployment model flexibility, and the strength of our platform for large, complex enterprise use cases. This particular bank needed to provide their very large consumer customer base with the exceptional user experiences and improve security for multiple devices to reduce fraud, ease regulatory compliance, and continue to deliver innovations to maintain their industry leadership. This customer chose ForgeRock for the key reasons that I highlighted earlier. First, our ability to give customers choice of deployment across complex environments. Second, our leadership in CIAM. Third, our full suite identity platform that scales to meet the demands of the world's largest enterprises. And fourth, the ability for our customers to design frictionless identity experiences using our low code, no code identity trees, without compromising on security and fraud reduction. For our next baking customer example, ForgeRock was selected to support hundreds of thousands of identities across the globe for all lines of business. This customer chose to replace its existing enterprise identity governance solution in order to improve visibility and onboarding of employees and applications. Initially, the customer was the employee of ForgeRock to help provision and reconcile millions of applications with non-human identities. Currently, this process is manual, which is extremely time consuming and costly. Streamlining the process with ForgeRock will help the customer realize significant cost savings and ensure regulatory compliance. They plan to address the same needs with human identities next. We are also seeing ongoing traction with our AI offering, which we refer to as autonomous identity. And the following is an example of a customer that purchased autonomous identity during the quarter. Emeritus [ph] offers a wide range of insurance and financial products and services to individuals, families and businesses. Like many financial services organizations, Emeritus was managing roles and entitlements manually, which is time-intensive, and costly. ForgeRock was able to quickly produce an assessment with autonomous identity in less than two weeks. In order to show Emeritus how the company could more rapidly and efficiently clean its data. Specifically, Emeritus was impressed with the AI capabilities and autonomous identity, which provides excellent time to value by identifying relationships in the data in an automated way and labeling them as low, medium or high risk. This helps the analyst at Emeritus to make decisions much faster than before. This is a great example of the value of autonomous identity, which helps organizations save time and money and lower risk by automating decision making. I couldn't be more pleased with these large customer wins across our SaaS and self-manage offering, as well as a broad range of industries. We released over 30 new features on IAM platform in Q4, focused on advancing our SaaS scalability and resilience, making our market leading identity trees and orchestration capability even more powerful and deepening our supportive identity standards such as OAuth [ph] OAuth2, and OpenID Connect. Looking ahead to 2022, we are extending our pace of innovation in areas of AI and SaaS. We are building on the success of our existing autonomous identity product, and we'll be introducing a new AI-driven fraud protection solution in the next several months. It provides a risk signals and scores for users in order to stop bad actors and fraud in real time at the identity perimeter. Core features will help to identify account takeover attempts, credential stuffing, suspicious IPs, possible travelers, man in the middle attacks, phishing and bots, while at the same time improving the experience of legitimate users. We're now into our third year of having a converged identity management, access management, MFA and identity governance solution. Since 2019, we've been innovating AI-driven governance, and customers choose our solution because it automates commonly used identity lifecycle processes, gives the users the access they need to do their jobs and ensures compliance and security and regulatory guidelines. Later in 2022, we will release our identity governance solution into the ForgeRock Identity Cloud with a cloud native modern architecture that will scale to large enterprise needs. Before I turn the call over to John, I want to revisit four drivers of our growth in 2022 and beyond. We are extremely well positioned to continue to capitalise on the large and growing market opportunity for enterprise-grade identity, which will drive durable and sustainable ARR growth for us. First, we have the right modern identity platform for enterprises for all types of identity. Second, we give our customers the power of deployment choice. Third, our differentiated SaaS architecture. And fourth, our attractive land [ph] and expand growth opportunity is a winning combination. These four business dynamics give us tremendous confidence that we have the right platform supported by a best in class go to market organization, which is fueling our growth. Our achievements in 2021 and our momentum heading into this fiscal year supports our view that we raised the bar for growth. We expect to grow ARR north of 30% in 2022, even as we further scale our company. We are leader in this massive market. We have the right platform, technology, people and partners to continue the acceleration of our business and further gain market share. With that, I'll turn the call over to John to walk through our financial results in more detail. John?
John Fernandez: Thank you, Fran. I'm pleased to announce that our fourth quarter results exceeded our guidance across all metrics. We ended our first year as a public company on a high note. Total revenue for the year was $176.9 million, an increase of 39% year-over-year, and our non-GAAP operating margin improved year-over-year to negative 10% from negative 20% last year. Before I get into the results from the quarter, I want to remind you that we run our business and focus its growth on ARR. It's the best metric by which to measure our business performance, especially as we rapidly grow our SaaS business. Due to ASC 606, our revenue growth is impacted by the amount of revenue recognized upfront self-managed deals versus revenue that is recognized ratably and we believe our ARR numbers appropriately normalized for this, especially as we are experiencing rapid SaaS adoption, which is ratable revenue. As of the end of Q4, ARR was $183.1 million up 35% year-over-year. Our ARR growth was driven by new customers who have purchased or self-managed or SaaS software and expansion within our existing customer base, through more identities, more use cases, more product modules, and more customers choosing our SaaS offering. The ForgeRock Identity Cloud represented 12% of ARR at the end of the year, demonstrating the rapid enterprise adoption and strong product market fit for our SaaS offering after its first full year of availability. In Q4, 40%, of our new customers purchased our SaaS offering, and 38% of ARR from new customers was SaaS ARR. This compares to 25% of our new customers who purchased SaaS in Q3 and 50% of SaaS ARR from new customers in Q3. Average SaaS ARR from new and existing customers who purchased SaaS in Q4 remains greater than 350,000. It is great to see such strong traction with our SaaS offering, as more new customers chose our SaaS offering this quarter versus Q3. At the same time, we value giving our customers choice and saw some large self-managed deals this quarter, including the large banks that Fran discussed earlier, which resulted in a lower percentage of new ARR coming from SaaS this quarter versus Q3. We continue to grow a very strong customer base that includes many of the world's leading brands. Our customers leverage our software to manage over 3 billion identities. We ended Q4 with 394 large customers, defined as customers with 100k of ARR or greater. Our large customers base grew 21% year-over-year, an acceleration versus Q3, and our large customers represented 90% of our ARR as of the end of Q4. Our net retention rate for Q4 remained consistent at 112%. Our average ARR for new customers in 2021 exceeded 200k of ARR, demonstrating that we tend to land larger with new customers. Also due to an increase in new logo acquisition over the past several quarters, the mix of new ARR from new customers has been higher on a relative basis. Total revenue for Q4 was $47.9 million, an increase of 19% year-over-year. As we transition more of our business to SaaS, we expect our subscription SaaS support and maintenance revenue to meaningfully outpace the growth in subscription license. Subscription SaaS support and maintenance revenue grew 48% year-over-year and represented 50% of our total revenue in Q4. Before turning to profitability and expense items, I'd like to point out that I will only be discussing non-GAAP results going forward. Non GAAP results exclude stock based compensation for all periods discussed and restructuring and impairment charges in 2020. Our press release contains our GAAP results and reconciliations to our non-GAAP results. Q4 gross profit was $38.4 million and gross margin was 80%. As we continue to scale our SaaS offering, we will see increase in investment in cloud infrastructure and incur higher hosting costs. Turning now to operating expenses. Sales and marketing expense for Q4 was $22.4 million compared to $19.2 million in Q4 last year. This represents 47% of total revenue for Q4 compared to 48% in Q4 of last year. The percent of revenue improvement was primarily driven by an increase in sales productivity. R&D expense in Q4 was $11.4 million, compared to $8.9 million in Q4 last year. This represents 24% of total revenue for Q4 versus 22% in Q4 of last year. We continue to invest in advancing our products and innovation in areas such as our enterprise SaaS offering, our AI machine learning capabilities, and our identity trees that empower customers to create orchestration journeys, focused on greater customer experience without compromising security. We believe the continued investment in our product differentiation will further cement our market leadership and identity. G&A expense in Q4 was $10.7 million, compared to $6.3 million in Q4 last year. G&A was 22% of revenue versus 16% of revenue last year. Our G&A expenses increased due to new public company expenses that we primarily began to incur in Q3 of 2021. Operating loss was $6.1 million versus a loss of 39,000 in Q4 a year ago. Operating margin in Q4 was negative 13% versus just below breakeven a year ago. But for the full year 2021, our margin improved 10 percentage points year-over-year to negative 10%. Turning to the balance sheet, we ended the quarter with $369.8 million in cash, cash equivalents and marketable securities. We are confident that we can grow our ARR at a rate north of 30% in 2022. And we believe we have the platform, technology, people and market opportunity to continue growing our business at this rate in the future. We are managing our path to profitability, while also raising our bar for growth. Our priorities for investment in 2022 are in key areas that drive our growth, including our product, technology and go-to-market organization. Longer term, we expect to demonstrate annual improvements and operating leverage, though our progress may not be linear on a quarterly basis. Before we turn the guidance, I'd like to provide some comments for our expected performance for fiscal 2022. For revenue, our SaaS growth continues to exceed our expectations, and our SaaS revenue is ratable revenue. As we shift more of our business to SaaS, you will see variability in our revenue, as our SaaS support maintenance revenue growth should meaningfully outpace our term license revenue growth. We expect revenue growth to begin reaccelerating in the second half of 2022. In 2022, we expect ending [ph] SaaS ARR to be 20% to 25% of ending ARR. In terms of revenue seasonality, we currently expect approximately 56% of 2022 revenue in the second half of the year. For operating margin, we expect 2022 to remain relatively consistent with 2021. We are confident in our core business is on the path to operating profitability, even as we invest in growth of our business in 2022. We expect to be profitable from a non-GAAP operating margin perspective in the second half of 2023, and for the 2024 annual period. For the first quarter of 2022, we expect total ARR of $187 million to ending $188 million, representing 31% year-over-year growth at the midpoint. Total revenue of $46 million to $47 million, non-GAAP operating loss of $13.5 million to $12.5 million and non-GAAP net loss per share of $0.18 to $0.16, assuming weighted average shares outstanding of approximately $83.3 million. For the full year 2022, we expect total ARR of $238 million to $241 million, representing 31% year-over-year growth at the midpoint. Total revenue of $212 million to $215 million, non-GAAP operating loss of $27 million to $24 million, and non-GAAP net loss per share of $0.38 to $0.34, assuming semi-weighted average shares outstanding of approximately $86 million. That concludes my remarks for Q4. And now I'll turn the call back to Fran for closing remarks. Fran?
Fran Rosch: Thank you, John. And I'll close with my final points before we open for Q&A. We run our company on ARR. And it's the best metric by which to measure our business performance, especially as we rapidly grow our Sass business. We had an amazing 2021, as we accelerated our ARR growth from 30% in Q3 to 35% in Q4. We've raised the bar on our ARR growth expectations for 2022. And the midpoint of our guidance of 31% growth is approximately 5 percentage points above current consensus. Our SaaS business continues to exceed our expectations. And we expect to end this year with 20% to 25% of SaaS ARR. Operator, you may now open the call for questions.
Operator: Thank you. [Operator Instructions] We'll take our first caller from Hamza Fodderwala with Morgan Stanley.
Hamza Fodderwala: Hey, guys. Good evening…
Fran Rosch: Hello, Hamza.
Hamza Fodderwala: Thanks for taking my question. How are you doing?
Fran Rosch: Great.
Hamza Fodderwala: So Fran, maybe first question for you. You know, the ARR growth in Q4, and the outlook was really strong, I think stronger than a lot of us were expecting. I'm curious if you could talk a little bit about just a broader enterprise demand environment that you're seeing. It does seem like things kind of inflected in the last three to six months, if I look at you and your peers. So just curious if you could comment a little bit on the pipeline, and how things have trended more recently that gives you this confidence that guide to over 30% ARR growth for next year, or for this year, rather?
Fran Rosch: Yeah, thank you. And it was great to see that ARR acceleration and certainly very proud of that, and a lot of hard work by everybody in the company to get there. And you know, we do feel confident in that guide we have for 2022. And it is really driven by two things. I think, the general market demand, digital transformation is obviously been going on for a long time. I think it has accelerated in terms of COVID, where almost every workers become a remote worker. And more and more consumers are doing everything online. Banking, healthcare, financial services, everything is really gone digital. So I think a lot of is driven by this external market demand. And we're seeing that in our pipeline. But it's also I think, driven by the uniqueness of our technology and our platform. The ability to have the single enterprise platform for the full identity lifecycle, single platform for workforce, consumer and IoT, the unique approach we've taken to cloud, the work we're doing on AI seems to really be resonating. So there's a combination that's driving our confidence in the guide which is the market factors, as well as our technology and the advancements we completed last year.
Hamza Fodderwala: And then if we were to just think about growth in workforce versus CIAM, I guess which ones surprised you the most? It seems like things were just strong across the board. But was there one that surprised you more than the other?
Fran Rosch: You know, I think that it was strong across both. We saw really strong growth in CIAM, as well in workforce. I think we continue to see the trends of really landing in CIAM, and you know, ForgeRock really is a little bit more well-known. We really had that market leading CIAM platform. And I think that's a great opportunity, great technology. So we're seeing a lot of land there. And then our ability to kind of cross-sell and upsell on that workforce side. So that's kind of in the pattern. But I think the work we've done around governance, and the work we've done to bring AI to make it really a smarter governance solution, that was actually the fastest growing part of our portfolio in there. So we see really good growth across both. And of course, as we've shared in the past, we don't really see this world as two separate CIAM and workforce. A lot of our enterprise customers are looking for a single converged platform that can use us to manage all their identities. And that's really where we're unique, because we're really purpose built for that, where many of the other products in the market, really, you know, maybe multiple platforms or started with one or the other. So it's really both.
Hamza Fodderwala: Got it. Thank you.
Fran Rosch: Thank, Hamza.
Operator: Thank you. And next, we'll move on to Gregg Moskowitz with Mizuho.
Fran Rosch: Hello, Gregg.
Unidentified Analyst: Hey, guys, it's actually Mike on for Gregg. Thanks for taking, taking the questions. Maybe just a start off…
Fran Rosch: Hi, Mike.
Unidentified Analyst: You know, as it relates to your business, any current or expected impact from locked or shell [ph] and or the Ukraine invasion?
Fran Rosch: So, you know, take the two of them, I think, you know, certainly, we've all watched the AV [ph] events, you know, unfold in Ukraine, and our hearts go out to all those people that are involved in that, and just really are hoping for, you know, quick resolution to that. So that's kind of that perspective. We don't see a big impact on our business. We don't have any customers, or partners or employees in either Ukraine or Russia. So we don't see any direct impact at all on our business. I think clearly, this has highlighted that, conflicts between countries are no longer just about, you know, tanks and bombs. But cyber has really become a big part of these conflicts. And so as a reminder to ourselves and to our customers, that they've got to continue to invest in security, and identity is a big part of that. So we're working with our customers to ensure that they're getting the full value of the ForgeRock capability and platforms, and looking, of course, to beef up our own security, kind of in this environment that we have. So that's kind of our perspective on that. As far as those other vulnerabilities, no impact on - and our business and material impact, as we have very little in our products and services. So we've communicated with our customers as appropriate, and are kind of moving forward.
Unidentified Analyst: Got you. That's helpful. And then maybe for my follow up, good to see the strong ARR guide. I guess, are you making any changes to sales incentives, or, you know, to your broader go-to-market initiatives in 2022? Thanks.
Fran Rosch: We're not making any big changes. Our sales team is focused on new ARR, whether that comes from brand new customers or existing customers, as we cross and upsell, both our land and expand opportunity and we're you know continue to keep on focused on that. From a SaaS, we're really pleased to see the traction of our SaaS platform and that cover unique architecture really resonating in the market. But we're really all that customer choice. We hear that portions of the market that still want to you know, run ForgeRock either in the private cloud or [indiscernible] choice or SaaS, so we want to make sure our customers have that option and we'll continue with that push going forward. So kind of really making a more of a customer choice versus ForgeRock.
Unidentified Analyst: All right…
Operator: Thank you. Next we'll take Patrick Colville with Deutsche Bank.
Fran Rosch: Hey, Patrick.
Patrick Colville: Thank you so much for taking the question and congrats on the ARR, really strong and to your inaugural IPO year. My question is about that fiscal '22 guide, I mean, so very healthy and above where I think the [indiscernible] was, so great to see that. Just how conservative you guys being with that guide. And you know, the reason I ask is if I layer on the kind of sequential growth rates we've seen in fiscal '21 to fiscal '22 it is just a ton of conservatism. So just help us understand kind of that facet please?
Operator: One moment, please.
Fran Rosch: Operator, can you hear us, okay?
Operator: Yes, I can. Please proceed.
Fran Rosch: Okay, we're having an audio issue. So we're going to switch over to our other line here. I'm sorry. Can you guys hear us now? Did Patrick, do you mind repeating the question?
Patrick Colville: Of course. Yeah. So I guess, congrats on what was a really strong 4Q and on a very healthy fiscal '22 guide ARR, definitely above kind of where I think the bogey was for the investment community. So that's kind of very positive to see. I guess my question is, what is the level of conservatism that is baked into that forecast?
Fran Rosch: You know, I think we feel really confident in the guide that we’ve given. We look at our pipeline primarily. And, and we had good pipeline growth. In the latter half of the year, we had good pipeline growth into the start of the year. We look at our MA [ph] productivity. And we look at our MAs and categories of zero to six months, 10 year, six to 12 and greater than 12. We have a pretty good feel for what their productivity is in each one of those cohorts, how our MAs are graduating into those cohorts. So we trade [ph] a lot of information that gives us really good confidence in that guide. It's, of course, early in the year. And we'll continue to update you guys throughout the period. But it's really a matter of, you know, a great market. We're seeing great pipeline, we're seeing improved productivity of our go to market engine. We're releasing new functionality this year, that we think will also help us drive that growth. So it's many factors that give us that confidence in that guide.
Patrick Colville: Great, that's helpful. Thank you. My second question is around profitability, you know, over the - over the last kind of three months, the pendulum is very much swung investment community towards more profitability being a focus. Would you guys - top line is definitely the most important kind of metric given the very high levels of growth, you guys are showing. But can we just focus on profitability quickly? So, you know, what's the kind of thinking there? If I'm not mistaken, fiscal first quarter suggests a negative 28% operating margin, and then for the fiscal year looking at the negative 12, which is, you know, slightly down year-on-year. So just help us understand that, I guess, why that level of investment? Have I got my numbers, right, in terms of the cut arc [ph] throughout the year?
A - : Sure. Sure, Patrick. This is John. So maybe a couple comments would help. So you know, midpoint of the revenue guide, losing about profitability for Q1 is 14%. And midpoint for the year is 21%. So we play that through a couple of dynamics happening. So first and foremost, right, we are growing our SaaS business quickly right around that ratable rev rec, which is a huge, strong positive for the company, exactly what we've intended to execute upon. So more of our revenue becoming ratable less of the self manage upfront. And put a couple more bookends of how that top line is being impacted. We said we'd end the year around 10%. We ended at 12% in SaaS. So again, more ratable rev rec. We also thought was important to help provide you some year end guidance, which originally was 20%. And now we're looking at as 20% to 25% of ending ARR at SaaS. Also, as we look at the back end of the year, Q3 and Q4, we've got approximately 56% we estimate of our 2022 revenue that'll be recognized in the second half of the year. So cumulatively all of these factors are causing an operating margin to be temporarily impacted, especially in this first half of the year, but on a full year basis, we expect our operating margin to be in the same ballpark as 2021 And then if we look out, take one step further to the progress we're making around operating leverage, we expect to be profitable from a non-GAAP operating margin perspective in the second half, so Q3 plus Q4 of 2023, and for the 2024 annual periods and beyond. And I think along with that, when we look at the investments that we're making this year, Fran has touched on some of those, we're really setting ourselves up to - to promote the company's growth, to not only obviously support the top line this year, but to take advantage of other opportunities in our huge market.
Fran Rosch: Yeah, thanks, John. And, you know, as you said, we really raised that bar of growth for the company, and we're going to continue to invest wisely into continuing seeing that accelerating growth. So terry's [ph] around, you know, product and technology, continue to drive innovation, more investment in scalability of the cloud, you know, more things around AI and bringing the full governance suite to the cloud. So a lot of things there we'll be investing, scaling or go to market. John mentioned, we're seeing improving leverage, or so be investing in our sales team, and our partner teams, marketing lead gen. So it's kind of a balanced approach to continue to drive the growth.
Patrick Colville: All right, that's very clear. Thank you so much for taking my questions.
Fran Rosch: Thanks. Operator, do we have another question?
Operator: We'll move on to Gray Powell with BTIG.
Gray Powell: Great, thanks for taking my questions.
Fran Rosch: Hey, Gray.
Gray Powell: And hey, how's it going? So yeah, congratulations on the on results. So I guess for my two questions, it was really good to see the updated SaaS disclosures and the traction there. So how confident are you on the 20% to 25% on SaaS mix of total ARR by the end of 2022? And then I think I'm doing the math right. But just to kind of make sure I have it correct, I think it implies that SaaS ARR will grow around 140% this year, and account for over half of your total net new ARR. Is that the right way to think about it?
Fran Rosch: Yeah. So hey, Gray. So, you know, look, from your first part of your question, which was, where's confidence in the SaaS, I think we have a lot of great triangulation points. Our SaaS sales cycles, we know are considerably shorter, and have been that consistently, from inception of SaaS. We look at the pipeline and the pipeline build around SaaS, and that's been really, really fantastic. And obviously, just even within respect to wins that we see continuing to close, I think some of the largest enterprises in the world, in our SaaS products. So we have a lot of confidence around that, and the consistent growth. So very, very pleased there on the SaaS. And so you're correct in the 20%, 25% ending. As it relates to the SaaS growth, you know, we are planning to, as I mentioned, in prior calls, provide additional revenue segmentation at the end of the year. So we will, do that as well. And the last point is not only do we see SaaS is a great way to attract new customers to ForgeRock, which many, many people are choosing that is, as we talked about in some of the earnings scripts, but also great opportunity to go into our install base. We have a program called software as SaaS. Where we look at customers are very happy with the ForgeRock functionality. They no longer want to run infrastructure and look into moving that - to the cloud. So that's another driver of why we feel so confident that we'll see that continued really strong growth in our SaaS platform and get to that 20% to 25% of ending ARR by the end of the year.
Gray Powell: Understood. That makes a lot of sense. Thank you very much.
Fran Rosch: Thanks.
Operator: Thank you. We'll move on to Jonathan Ho with William Blair.
Jonathan Ho: Hi, good afternoon, and let me echo my congratulations as well. I just wanted to start with sort of the net retention number and particularly for 2022, how should we think about either this trend persisting or with some of the new product introductions? Is there an opportunity to see this also improve as well?
Fran Rosch: Yeah, Johnson, thanks. So, again, the couple of key points on net retention first and foremost, we just continue to land large on the original deal. So that's number one. As we looked at last year, in 2021, we just made a very considerable investment and customer success. And we've already seen a huge payoff from that. We saw that in the form of customer retention. And I will tell you at this point where we are at customer retention, we are at a best in class level. So as we think about is there real upside from a customer retention perspective, I think that's minimal at this point, given we're already at a best in class level. In Q4, an interesting thing to share is that when we look at what was new, and our new logo acquisition, we actually acquired the most new logos in Q4, that we've acquired in the prior eight quarters. So on the basis of how the pie split up between new and existing, it was really skewed toward new, which was great for market penetration. And thus, you know, I'd say we're going to stay in the range of plus or minus 112%, in the near term. Now, to your point about the new products market introduction, there's several things happening there, new products to get launched, absolutely going to be able to have an impact on that 112% and provide some upside. But we've also got more users more modules and more use cases, as well as the ability for our existing - a lot of that base to self manage to actually buy SaaS, and some will move to SaaS from there self manage. And we've looked at specifically that last point, we think that the opportunity and the initiative around software to SaaS could be several $100 million opportunity. So all of those factors together, I think provide us confidence in the 112% and some upside.
Jonathan Ho: Got it. And then just regarding the new fraud prevention opportunity, your how much of an upsell opportunity do you see, what may be roughly the timing for that product to become generally available. And is there any sort of upside built in from that product in your guidance today? Thank you.
Fran Rosch: We do - we will be looking at that as an additional upsell opportunity and additional module on the ForgeRock platform, which will be able to sell. Our orchestration trees have always had the ability to collect signals on user and device behavior, and help our customers make intelligent decisions based on that risk. This really brings the AI capability to that module and embedded in with that whole orchestration journey that we've ever had. So we're really excited about it. From a release standpoint, we do plan to release HGA [ph] in the first half of this year. So we think it's a great opportunity. It's not really built into our model at this, so we think it really can help continue to drive some good growth for the company going forward. And it's just an area we've been working on. You know, we launched our first AI product back in 2019. Around the governance and workforce, we're now extending that over the authentication and primarily the CIAM space. So I think it's going to be really well received. We had several design partner customers that worked on it with us. So we've got really good customer input in, so it's going to be an exciting opportunity for us this year.
Jonathan Ho: Thank you.
Fran Rosch: Thank you.
Operator: Thank you. And next we'll take a question from Rob Owens with Piper Sandler.
Fran Rosch: Hey, Rob.
Rob Owens: Great, thanks for taking - good afternoon. Thanks for taking my question. Where you're seeing customers opt for self manage up front, is there any rhyme or reason regulatory requirements kind of more traditional industries? And as you talk about that potential for the shift from self managed to SaaS, what was kind of the in the last six months experience there? And how should we think about that pipe for 2022? Thanks.
Fran Rosch: So there are companies that still serve - who still want to go into self managed approach. And we feel we're really uniquely positioned because that's great, right? By having choice, the customers want to go self managed in their private cloud or public cloud or use our SaaS. So I think some of the drivers are a couple different things. One is regulatory requirements. There's certain countries around the world that you know, have to keep data, maybe in their own facilities around protection. Or there are other companies who just aren't culturally ready to move to the cloud. They feel very large companies field controlling all that infrastructure gives them better - better control, and that's okay, because we have the opportunity to serve all of them. Now we think eventually will be more and more, you know, everybody going to identity as a service. Right now, they're still and we talked about, really these two large financial services, a company that signed up with ForgeRock last quarter, they looked at all their options. They said they weren't ready to go to the cloud. We said great, but they love that our platform gives them the ability when they're ready to be able to make that move. So that idea is important. When it comes to our pipelines software and SaaS, we feel it's a strong pipeline. About a third of our SaaS customers last year came from our install base and about two thirds from new customers, we expect that to kind of go into this year as well, we're about a third of that task will come from existing customers as they convert. So - and we see a strong pipeline. We've also rolled out a lot more structure on that software to SaaS program, including creating what we call accelerators. These are ways for our customers to make a really easy move from self managed to cloud where we can help them with truly an accelerators move their identity data, move their identity trees, move their setting configurations directly to the cloud, so it makes it easy move for them. We've created TCO calculators, ROI tools, to really helping customers make that decision. So we think it'll continue to grow over time.
Rob Owens: Appreciate the color. Thank you.
Fran Rosch: Thank you.
Operator: Thank you. And next, we'll move on to Sterling Auty with JPMorgan.
Sterling Auty: Yeah, thanks. Hi, guys. Hi, guys. Thanks for squeezing me in. So question would be around the tip of the spear in most of your new deals, new logos, over the past quarter, how much of that is coming from kind of MFA single sign on type of use cases versus governance use cases?
Fran Rosch: So for us, a lot of the tip of the spear is CIAM. And that's kind of where we tend to land most frequently. But when someone chooses ForgeRock, they're not choosing just because of MFA, or access. It's a platform. And we're the front door for their enterprise. So they're looking for a platform that can help it really easy to onboard, new customers make that registration process provisioning process easy through when they come back through authentication, MFA, all of this really easy from a whole platform. So CIAM is the tip of the spear, but it's usually the whole platform. The other ton of tip of the spear that we saw, we expect to continue is around that governance. And the AI work we've done our autonomous identity product is a great opportunity for us to land. So those are two kind of land motions. But our span [ph] motion is really exciting, whether it's selling the full workforce platform, to our CIAM customers, or the full CIAM platform to our workforce customers, or more modules, more business lines, and then of course, at software to SaaS movement. So we really have some really clear sales plays for our team around kind of that land around CIAM, and governance and they expand to the full portfolio and move to the cloud.
Sterling Auty: Great. And then just one follow up, the incremental investment that you're making. So if we look at where kind of guidance for next year versus, you know, most of our models are, how would - how should we think about where that extra investment is going in terms of the split between R&D, sales and marketing, and maybe even cloud infrastructure in the COGS line?
Fran Rosch: Yeah, I mean, I think it's a pretty balanced investment. So - and all of that is obviously in the details. But it's a balanced investment, where we're investing in R&D. That's probably our biggest investment area. And, you know, around bringing on more engineers to release more products to accelerate our innovation engine. So good growth there. We continue to do some investment in our customer success, and our support and services organization. As we continue to add more customers, it's kind of a variable expense around supporting the onboarding and success of that customer base. We continue to invest in our go to market around marketing, market awareness, region [ph] and then our full our full sales team. So it's pretty much a balanced investment over that. When it comes to cloud. You know, we've done a lot this year to make a really efficient, scalable SaaS infrastructure that we think has given us some good economies of scale. And we'll see that continue going forward, as John's talked about some really strong, gross margins. So John, maybe you would kind of want to add that.
John Fernandez: On the gross margin side, right, non-GAAP Q4, we ended at 80%. As Fran said, we did a lot on the platform to make sure that we were efficiently leveraging our cloud spend. That said, we are still early innings, right? I mean, we're just after our first full year of the cloud product. And so we've got a lot of things on deck to make further that much more efficient. And so as we look out toward this year, we think we can see 100 to 200 basis point compression off of our really strong 80% non-GAAP at the end of Q4 margins, but actually we think we'll end the year around that 80%. I think just reinforcing that there isn't any disproportionate level of cloud hosting costs. It really is, as Fran mentioned, so really even and well spread grow the business across the board for efficiency this year.
Sterling Auty: Understood. Thank you.
Operator: Thank you. And we do have one last question from Shaul Eyal with Cowen & Company.
Fran Rosch: Hey, Shaul, how are you? Me? 
Shaul Eyal: I'm good. I'm good, guys. Thank you for squeezing me in and congrats on the quarter and on the outlook for fiscal '22. So maybe Fran or John, my first question on SaaS, and I think kind of the overall opportunity. The new business that you guys booked during the quarter again, I don’t know if you can quantify, or maybe just some qualitative commentary about what part of that came from displacements? What was more Greenfield? And as we specifically think about the SaaS business, is that strictly Greenfield? Or have you also seen some displacement on that front? And maybe just, you know, John Fran, did you guys meet your 2021 hiring plan.
Fran Rosch: So on the on the first point, you know, because we generally sell to enterprises as large enterprises, there's usually some identity system in place already that we're displacing when we bring on a new customer. And we talked about, for example, the one of the financial services customer that was running a legacy CA Siteminder deployment, and they were looking to upgrade to something more modern. So we see a fair amount of that, where we are replacing some of those legacy players with a modern platform. So that's kind of displacement approach one. We also see displacement of homegrown, a lot of our customers may be running homegrown technology that they created over the years. And they're realizing that that homegrown identity doesn't scale to meet the needs of the business, around flexibility and frictionless identity without compromising on security. But we also displace companies, I've done a lot of point solutions that may be there, they might have one for workforce and one for consumer, and they're looking to be able to consolidate. So it's a lot of displacement of something, and it kind of grows across the board. Our SaaS is great, because as John said, you know, we have shorter sales cycles, there's more people want to go to cloud. We're seeing, you know, higher initial lands, with our SaaS offering. So it's been great. But we also love our customers who want to stay with a self managed approach, and having the opportunity to give them choice, and a product that covers both of those is really great. So that's kind of what we see. With regards to hiring, it's really critically important. But what I'd say is we don't look at it just as a hiring challenge, we look at really as a talent opportunity. And we look at that as about hiring new people, developing our talent, and retaining our best players. So we as a leadership team are always looking at that from a talent perspective. And of course, always making sure that we focus on the right diversity, because we know that makes us kind of a better company from a talent perspective. So we are on track so far this year, a lot of focus on it here. As we end February. We are we are on 100% of our hiring plan. And we got a lot on hiring to do. So it's a big - a big focus for the company, and we're absolutely on track.
Shaul Eyal: Got it. Thank you so much.
Fran Rosch: Any follow up? Okay. All right. Well, then I'll just go ahead and close the call and say, thanks everybody so much. We're thrilled with the progress of the company. Want to say thank you to any of the ForgeRock's on the phone any of our customers, thank you for helping us get here. And we'll talk to you all soon.
Operator: Thank you. And that does concludes today’s teleconference. We do appreciate your participation. You may now disconnect.